Operator: Good morning, everyone, and welcome to Getty Realty's Earnings Conference Call for the First Quarter Of 2020. This call is being recorded. Prior to starting the call, Joshua Dicker, Executive Vice President, General Counsel and Secretary of the company, will read a safe harbor statement and provide information about our non-GAAP financial measures.  Please go ahead, Mr. Dicker.
Joshua Dicker: Thank you, operator. I would like to thank you all for joining us for Getty Realty's First Quarter Earnings Conference Call. This morning, the company released its financial results for the quarter ended March 31, 2020. The Form 8-K and earnings release are available in the Investor Relations section of our website at gettyrealty.com.  Certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to trends, events and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements.  Examples of forward-looking statements include our 2020 guidance and may also include statements made by management in their remarks and in response to questions, including regarding the company's response to the COVID-19 pandemic, future company operations, future financial performance and the company's acquisition or redevelopment plans and opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. I refer you to the company's annual report on Form 10-K for the year ended December 31, 2019, subsequent quarterly reports filed on Form 10-Q and other filings made with the SEC for a more detailed discussion of the risks and other factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements, which reflect our view only as of the date hereof.  The company undertakes no duty to update any forward-looking statements that may be made in the course of this call. Also, please refer to our earnings release for a discussion of our use of non-GAAP financial measures including our definition of adjusted funds from operations, or AFFO, and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer.
Christopher Constant : Thank you, Josh. Good morning, everyone, and welcome to our call for the first quarter of 2020. With Josh and me on the call today are Mark Olear, our Chief Operating Officer; and Danion Fielding, our Chief Financial Officer. This morning's call is slightly modified from our typical prepared remarks. I will provide a general update on our business, and Mark and Danion will provide their standard quarterly review of our portfolio and financial matters. We will also spend a significant portion of the call discussing the impact of the COVID-19 pandemic on our business, our financial strength and our tenants' operational and financial health.  Getty had a very successful start to 2020. We completed the acquisition of 12 properties for $57 million in the first quarter. When combined with our productive fourth quarter of 2019, we have invested more than $100 million over the past six months in high-quality, well-located properties. In addition, we completed two redevelopment projects in the first quarter, bringing our total of completed projects to 15 since the inception of our redevelopment effort. Additionally, during the quarter, our core net lease portfolio continued to display the strength and stability that we expect from our long-term triple net leases.  Turning to our results. We grew our revenue, net earnings, FFO and AFFO for the quarter as compared to the same period for the prior year. On a per share basis, our AFFO increased by 9.5%, which reflects the successful execution of all of our growth strategies. Let me now share some perspective on the impacts Getty has experienced from the COVID-19 pandemic and the steps we have taken to respond.  In March, we began to implement plans for our business and employees to move to a virtual working environment. I am pleased to report that all of our employees and Board Members are healthy and our team has been working efficiently and productively at home for the past eight weeks. I am proud of the strength and resolve our employees have shown during the stressful period. We are executing on all levels within the company and are maintaining Getty's high-quality standards under difficult circumstances. Prior to the COVID-19 pandemic, our tenants businesses were performing well. The convenience and gas sector began to feel the adverse effects of the public health crisis in March as several large states on the East and West Coasts instituted travel restrictions and stay-at-home orders.  Fortunately, the vast majority of our properties are convenience stores and gasoline stations, which are retail sectors that have been deemed essential under state and federal guidelines, meaning that more than 95% of our assets remain operational while COVID-related restrictions are in place. It should be noted that while our tenants are open for business, they are facing operational, health and safety challenges.  Nationally, the COVID-19 pandemic has had a significant negative impact on motor vehicle use. And as a result, fuel volumes have declined significantly year-over-year, with the extent of the decline varying by region. Certain of our tenants are located in the most severely affected regions of the country and are experiencing fuel volume declines of as much as 70%. While it is impossible to replace the lost revenue from our lower fuel volumes, it is noteworthy that our tenants have, at the same time, benefited from historically high retail fuel margins, meaning the gross profit made on a per gallon basis.  This increase in retail fuel margins, which was driven by the considerable drop in oil prices has partially offset the pressure on fuel-related revenue caused by volume declines. In contrast to fuel-related challenges, our tenants' convenience store businesses have shown greater stability and revenue during the public health crisis. While convenience sales are down overall, certain well-located sites have reported strong sales of grocery items and household products. I am pleased that to date, the net result of the COVID-19 pandemic on Getty's business is that we have not experienced a meaningful negative financial impact to our business. Due to the timing of the rollout of stay-at-home directives, we did not experience any material rent collection issues in the first quarter of 2020. For the month of April, we received 97% of contractual base rent and mortgage payments. And granted deferrals for an additional 1.8% of expected base rent and mortgage payments. These deferrals were granted to select tenants and mortgagers, whose businesses have been deemed nonessential or who, due to COVID-19-related impacts, have experienced economic difficulty and requested relief.  In most of these cases, the base rent or mortgage payment deferrals will continue for May and June, and then will be due over the course of the following 6 to 12 months, depending on the particular arrangement. In general, the relief requests have come from our one-off tenants and mortgagers and from our smaller unitary tenants with properties located on the East and West Coast. The remainder of uncollected payments due to the company for April, representing approximately 1.2% of scheduled rent and mortgage payments have been abated or deemed to be uncollectible. This uncollectible portion of our rent and mortgage payments is attributable to select-retail businesses that are currently closed and smaller one-off and unitary tenants and mortgages with properties located in markets, which have been severely impacted by the COVID-19 pending. With respect to requests related to May and June, to the extent decisions have not already been made, the company continues to evaluate these requests and has been seeking appropriate financial information to support its decision-making process.  As of this morning, we anticipate that for May, we will receive between 92% and 95% of May contractual base rental and mortgage payments. With rent and mortgage payment deferrals ranging from 2% to 5%. We will continue to work on a case-by-case basis with tenants during the COVID-19 endemic who demonstrate a need for assistance. Our strategy over the last several years to diversify our tenant base with quality tenants has been productive with approximately 34% of our ABR now coming from public companies. As a result of our hard work, we believe that we are better positioned to weather the current public health storm. We think we can effectively navigate this uncertain environment due to the essential businesses of our tenants, the net lease structure of our leases and our stable balance sheet position.  However, it is important to recognize that the greater the duration and more restricted the terms of the COVID-19 sheltered in place directives, the greater the risk of tariff, economic impact on consumer and retail activity generally, and therefore, to our 2020 financial performance in particular. Our conservative balance sheet continues to be a strength during these uncertain times. We place a premium on being lower leveraged, and we are committed to maintaining a well-laddered and flexible capital structure. We believe we have sufficient access to capital as we sit here today through cash on hand, funds available under our revolver and our ATM program.  Looking ahead, we believe there will continue to be opportunities for Getty to grow its business. We are confident that our targeted investment strategy, which focuses on the largely essential and Internet-resistant, service-oriented, convenience and gas and other automotive sectors in metropolitan markets across the country will continue to create value for our shareholders over the long term.  We remain committed to an active approach to managing our portfolio of net leased assets, expanding our portfolio through acquisitions in the convenience, gas and auto-related sectors; and selective redevelopment projects. We are confident in our ability to continue to successfully execute on our strategic objectives over the long term. This approach and focus on these critical components should result in driving additional shareholder value as we move through 2020 and beyond. With that, I will turn the call over to Mark Olear to discuss our portfolio and investment activities.
Mark Olear : Thank you, Chris. In terms of our investment activity, we had a very busy first quarter in which we were able to invest $57 million in 12 high-quality, other auto-related assets. During the quarter, Getty acquired 10 properties and an acquisition leaseback transaction with Go Car Wash.  The properties acquired are subject to unitary triple net lease with a 15-year base term and multiple renewal options. Properties are located in the greater Kansas City MSA. Properties we acquired have an average lot size of 1.4 acres and an average length of 145 feet, both of which we believe enhance the quality and diversity of our portfolio. We invested $50 million at closing and expect to generate a cash yield that is in line with our historical acquisition cap rate range.  Additionally, we closed on the acquisition of two properties for $7 million during the quarter Both sites are Car Wash facilities located in Virginia and Kentucky and are subject to 15-year triple net lease with Zips Car Wash. We remain highly committed to growing our portfolio in the convenience and gas sector as well as our newer categories, including car washes and automotive service centers.  I note, however, that the COVID-19 pandemic is currently impacting the overall transaction market on various levels. And accordingly, we believe many of the acquisition opportunities in our pipeline will be delayed.  Moving to our redevelopment platform, for the quarter, we invested approximately $0.5 million in both completed projects and sites, which are in progress. In the first quarter, we returned two redevelopment projects back to our net lease portfolio. Specifically, in February, rent commenced on a project in the Bronx New York, where we leased a site to Wendy's for a quick service restaurant use. In this project, we invested $1.6 million, and we expect to generate a return on our investment of 11%.  The second completed project was a lease to AutoZone in Philadelphia, Pennsylvania, our second completed project with this tenant. In this project, we invested $0.3 million, and we expect to generate a return on investment of 39%. In terms of redevelopment leasing, we ended the quarter with 11 signed leases or letters of intent, which includes four active projects, six signed leases on properties, which are currently subject to triple net leases, but which not which have not yet been recaptured from the current tenants and signed letters of intent on one vacant property. All these projects are continuing to advance through the redevelopment process. Again, I note that due to the impact of the COVID-19 pandemic, we are seeing some delays in certain of our projects as contractors, suppliers as municipalities deal with the shutdown orders, social-distance requirements and other impediments to normal function. In total, we have invested approximately $1.2 million and did 11 redevelopment projects in our pipeline, and we expect to have rent commencement at several additional projects during 2020.  On the capital spending side, we estimate that these 11 projects will require a total investment by Getty of $6.8 million and will generate incremental returns to the company in excess of where we could invest these funds in the acquisition market today. For a more detailed information on the redevelopment pipeline, please refer to page 15 of our investor presentation, which can be found on our website.  We remain committed to optimizing our portfolio and continue to anticipate redevelopment opportunities over the next five years, possibly involving between 5% and 10% of our current portfolio with targeted, unlevered redevelopment program yields of greater than 10%. Turning to dispositions, We sold four properties during the first quarter of 2020, realizing proceeds of approximately $1.7 million. The properties sold were vacant or were returned to us by tenants for the terms of their lease agreements. We expect that net financial impact of these dispositions will be minimal. In addition, during the quarter, we exited six properties, which we previously leased from the third-party landlords.  As we look ahead, we will continue to selectively dispose the properties where we have made a determination that the property is no longer competitive at the C&G location and does not have redevelopment potential. As a result of all of our activity, we ended the quarter with 934 net lease properties, four active redevelopment sites and nine vacant properties. Our weighted average lease term is approximately 10 years, and our overall occupancy, excluding active redevelopments, remain confident at 99%. With that, I turn the call over to Danion.
Danion Fielding : Thank you, Mark. The first quarter, our total revenues were $35.4 million, an increase of 4% over the prior year's quarter. And our rental income, which excludes tenant reimbursement and interest on notes and mortgages receivables grew 6% to $31.3 million. Our growth in rental income continues to be driven by rent escalators and our leasers want additional rent from recently completed acquisitions and redevelopment projects.  During the first quarter of 2020, we benefited from reductions in both property costs and environmental expenses while maintaining a steady level of general and administrative overhead. For more information on specific expense movements, please refer to this morning's earnings release.  Our FFO for the quarter was $20 million or $0.47 per share as compared to $17.8 million or $0.43 per share for the prior year's quarter. Our AFFO this quarter was $19.3 million or $0.46 per share as compared to $17.5 million or $0.43 per share for the prior year's quarter. Turning to the balance sheet and our capital markets activity, we ended the first quarter of 2020 with $535 million of total borrowings, which includes $85 million under our credit agreement and $450 million of long-term, fixed-rate debt. Our weighted average borrowing cost is 4.6%. The weighted average maturity of our debt is 5.1 years and 84% of our debt in fixed rates. And our earlier step maturity remains our $100 million series A debt maturity in February of 2021.  As of today, we have $215 million of undrawn capacity on our revolving credit facility which we can use to fund operations or for growth over the near to medium term. At quarter end, our debt-to-total-capitalization stood at 36%. Our debt-to-total-asset value was 43% and our net-debt-to-EBITDA was five times. Lastly, for the quarter, we did not utilize our ATM. We have $80 million available to us under our existing at-the-market equity program should we need to raise additional capital. Our environmental liability ended the quarter and year at $50.4 million, down $0.3 million for the year. For the quarter, the company's net environmental remediation spending was approximately $1.3 million.  Finally, we have withdrawn our 2020 AFFO per share guidance range given the uncertainty related to the COVID-19 pandemic and the unknown lens of debt with impact to the U.S. economy. With that, I will turn the call back to Chris.
Christopher Constant : Thanks, Danion. That concludes our prepared remarks. So, let me ask the operator to open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Craig Mailman with KeyBanc Capital Markets. Please go ahead.
Craig Mailman : Hey, good morning guys. I was just curious here. Very good collections in April and assuming some fall off here in May. Could you just talk about in May, is that being driven by your core C stores? Or is it some of your recent non-C-store acquisitions kind of driving that? Just give a little bit of color.
Christopher Constant : Yes. So, one thing we mentioned in our remarks, right, is the first quarter was very strong for our operators. So, April, we really didn't see too much of an impact as is illustrated by the 97% collection rate. When you start to look at May, it's really a combination of both, Craig. But we do have some nonessential, non-C&G properties in the portfolio. Interestingly enough, the car wash properties that we've acquired are all open and operating.  So, we're really not focusing on those in that category today. But there are certainly some C&G sites that make up the amount that was not collected. So, it's really a combination of both nonessential closed properties as well as certain C&G sites that are struggling.
Craig Mailman : Okay. That's helpful. Then on the write-offs, are you guys taking back those properties, or are you just basically saying it's an abatement?
Christopher Constant : It's again, a combination of both, right? So, there are certain properties that are closed, right, that we've just elected to waive for a short amount of time. And then there are certain properties that I think will ultimately have to be released or that we may eventually sell over time. And then again, I just want to just Craig, one thing I would leave you with on that comment is that, that's a pretty small number at this point. So, I wouldn't really say, it's having a material impact on us sitting here today.
Craig Mailman : No, no, that's helpful. Then just as we think about some of the remedies you guys have. I mean can you just remind us, security deposits, letters of credit? I mean are you guys drawing down on any of those as part of the deferral agreement? So from an AFFO perspective, you might be kind of whole? Or is this you guys are just.
Christopher Constant : So, from an accounting standpoint, right, we've elected to for deferrals, I'm speaking of at this point, right? We have elected to continue to treat that as a payments good during the term of the lease. And therefore, you really wouldn't see too much of an impact on an FFO, AFFO basis.  For properties that are in the abatement or on collectible category, we're certainly evaluating our security deposits in LCs, right? And but those properties have gone to a cash basis at this point. So anything we do any action we do take there, right, yes, you'd see that in the second quarter or beyond.
Craig Mailman : Okay. And then just moving on, just I know it's very early in this. And just curious, the acquisition market, kind of your thoughts here on when maybe that becomes open and functioning again and maybe what you are expecting to see on the opportunity set side? And also just on the return side?
Mark Olear : Sure. This is Mark. We continue to do our best to underwrite the pipeline that we had been working on. There are certainly some physical challenges to processing on new opportunities with regard to proper due diligence. Many of the parties involved with the transactions are properly focused on the operational side and the health and safety side of the business right now. So, any new opportunities are somewhat on a pause right now.  That said, we continue to stay engaged with all the sources that we receive marketing from, our sale leaseback and acquisition leaseback partners that we've worked with over the years, and we continue to position ourselves to be ready to act when the market is able to reengage.
Craig Mailman : And do you think there is going to be any material movement in returns? Or is it just too early to know?
Mark Olear : I think it's too early to know at this point.
Craig Mailman : Great, thanks guys.
Mark Olear : Thanks, Craig.
Operator: Our next question will come from Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone : Yes, thanks good morning I wanted find some of the deferrals or abatements, was that disproportionately at all in GPMI? Or was it fairly well spread across the portfolio?
Christopher Constant : Well, probably fairly well spread across the portfolio, quite frankly. Again, some of those where we abated rent or deferred rent in both cases were some non-C&G properties, so they certainly wouldn't touch the old legacy GPMI portfolio. But with that said, the GPMI portfolio is really northeast mid-Atlantic, right? And those are some of the areas that have been hit the hardest with the travel restrictions, or I guess, they were the some of the earliest areas to really kind of move to a shelter in place. So, certainly, some of those deferments are coming from the old GPMI portfolio. But again, it's a combination of both.
Anthony Paolone : Okay. And then you mentioned the gas margins actually being pretty good, like is that something that you think is sustainable if oil prices remain low for an extended period of time? Or is that elevated margin, something that's more transitory?
Christopher Constant : Typically, well, pre-COVID, margins were strong, and obviously, with the price of oil the rapid decline in the price of oil, that's where you saw the margin expansion. I anticipate that, that will float down and maybe eventually get back down toward a more of a normal level, but it's really hard to predict when and how fast that will ultimately happens.
Anthony Paolone : Okay. And then with regards to the EBITDAR coverage, I think that was 2.1 times that you showed in the deck. And I would imagine, that drops down just naturally as the next few quarters flow through. But like where do you think that number needs to be to feel like the operators getting enough profits to have skin in the game and to continue to operate, like where should we think about that number, I guess, over time and where the comfort level should be?
Christopher Constant : Well, again, you should certainly expect to see that number tighten, right? Given what's happening in the business. I think, certainly, when you underwrite portfolios, you're looking at a minimum of 1.5, right? So, I think anything tighter than really that 1.5 for a sustained period of time would be difficult for an operator to really feel good about being there and investing in those properties long term. But again, Tony, I think that's a long-term view, right? Obviously, we'll see where it shakes out over the next couple of quarters.
Anthony Paolone : Yes, I know, I understand the next few quarters will be pretty different. Okay, that's all I had.
Christopher Constant : Thank you.
Operator: [Operator Instructions] Our next question will come from John Massocca with Landenburg Thalmann. Please go ahead.
John Massocca : Good morning.
Christopher Constant : Hey, John.
John Massocca : Yes. Just going to be touching on kind of acquisitions again. Just to kind of clarify, is your kind of view on the acquisition market that you would be aggressive or not aggressive necessarily, but that you would be active if kind of transactions materialized, there's no kind of pause necessarily from your perspective, either due to kind of uncertainty in the market or your view of your cost of capital that you're kind of on the sidelines? It's really more just you need the deal volume to be out there in order to kind of reaccelerate acquisitions?
Christopher Constant : I think for right now that the market is just naturally on pause. As Mark mentioned, right, there's physical challenges. You have buyers and sellers who are sellers and who are struggling with their own operational issues and health and safety and kind of doing their day jobs. But from a long-term perspective, I think our balance sheet is in great shape. I think we certainly continue to underwrite and continue to look at a number of opportunities. As Mark said, we had a pretty strong pipeline going into this.  So again, I think once the natural pause kind of unwinds and business is normalize, right, it'll be back to underwriting, whatever the just last couple of years performance look like and combining that with the stress of the COVID period, and there'll be probably some issues around pricing and terms coming out of that, but I do expect the transaction market to reengage at some point, probably over the next couple of months.
John Massocca : And is there any thought process on your end maybe to be more active in that market or even necessarily aggressive in that market, just given there's probably going to be high demand for the type of assets you target from other investors, given the fact that they are kind of deemed essential in the new world we kind of live in where that's going to be an important factor?
Christopher Constant : I think we're we at least believe we're always active and always being aggressive on our team that works under Mark, right, it's still out there reviewing opportunities. But again, it's hard to comment on the activity level or what pricing will really be just given that, hey, you don't know when that market is going to reopen. And quite frankly, it's kind of difficult to assess what the new normal will be.
John Massocca : That's it for me. Thank you guys very much.
Operator: Our next question will come from Josh Dennerlein with Bank of America. Please go ahead.
Josh Dennerlein : Hey, good morning everyone. Hope everyone is doing well. I'm just curious if you had any color on maybe the decline in the box sales at C-stores trended over April? And if you think like kind of this new lower level, and you had month end kind of persists for a while? And if that's how that might feed into coverage ratios going forward?
Christopher Constant : It's really anecdotal feedback from our tenants and from the market in general. But I think we're hearing C-store sales depending on where you are down anywhere from 5% to 20%.
Josh Dennerlein : 5% to 20%. Okay.
Christopher Constant : Josh, one thing I would add to that, right, is if you're a neighborhood convenience store, right, you're probably doing pretty well at this point. People are walking and shopping there and using it as sort of for grocery type items. If you're a site that's on a natural commuting path or most of your traffic is driven by people driving to and from work, that's where you're seeing probably those larger declines. There's just a lot out less people commuting by car to their offices.
Josh Dennerlein : Okay. Yes, that makes a lot of sense. And then for the C-stores with the QSRs attached, like is it similar declines or is it?
Christopher Constant : They're doing the same thing that the stand-alone QSRs are, right? They're doing take out. There some people are experimenting with delivery. There businesses are doing their best to or that portion of the business is doing their best to create sales volume, right?
Josh Dennerlein : All right. Okay. Thanks, Chris. Appreciate it.
Operator: This will conclude our question-and-answer session. At this time, I would like to turn the call back to Mr. Constant for any closure or further remarks.
Christopher Constant : Thank you. Thanks again for joining us for the first quarter call. I hope everybody continues to be healthy and stay safe, and we look forward to getting back on at the end of the second quarter in July.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.